Harold Goddijn: [Audio Gap] We saw market share improvements at the end of the quarter in both regions. We continue to see strong growth in our sport business and we’ve doubled the number of outlets in Q1 globally. We also added Nike+ to the list of platforms available to TomTom GPS sport watch, enabling to – our user to track their progress, and share their performance with the Nike+ community. Our fleet management business grew strongly in the first quarter and at the end of the quarter Telematics reported an installed base of 482,000 active subscribers, which is a 39% increase year-on-year. Our Automotive business contracted as anticipated and newly booked business continued at levels which will support a growing business. In the quarter, we announced an agreement to deliver maps to Volkswagen in North America. We also continue to expand our position as a premium traffic service provider in the automotive market we announced that we will deliver our real-time traffic services to Volkswagen, Hyundai, and Kia in Europe. We extended our global partnership with Fiat to deliver maps and navigation in Latin America. And we also announced a new deal with South Korea's SsangYong Motor Company. Our maps and navigation software will be included in the all-new Tivoli model throughout Europe beginning in May 2015. Good progress has been made with migrating our databases, our country databases to our new map-making platform. This new platform technology is fundamental to our future and will transform our digital map process from a quarterly batch process to one in which our map is continuously releasable and that can swiftly and automatically process sensor and cloud source data. The new platform allows us to process a variety of external sources proprietary and from our strategic core [ph] partners at low cost and near real-time. We are well in track to fully replace the map-making platform in the second half of this year. This concludes my part of presentation I am handing over to Marina.
Marina Wyatt: Thanks, Harold. I’ll now go through our quarterly financial result. So we generated revenue of €205 million in the first quarter which was flat compared to the last quarter last year. Our Telematics, Licensing and sport businesses grew strongly, and they broadly counterbalance the reduction in PND and Automotive revenue. Consumer revenue was €122 million which was 3% down compared to last year and this was caused by lower PND and related content & services revenue which was partly offset by strong growth in sport. Our automotive business generated €24 million in the quarter, down from €29 million in the same quarter of last year, and this decline was caused by the facing out of certain older contracts. Our licensing revenue was €29 million in the quarter, which was a 12% growth, compared to the same quarter of last year, and the year-on-year increase was mainly caused by higher traffic revenue and to a lesser extent by FX. Telematics revenue for the quarter was €31 million, which was 24% increase, compared to last year and the recurring subscription revenue for the quarter increased by 32% year-on-year to €23 million. Our monthly subscription ARPU decreased slightly year-on-year owning to the impact of acquisitions, product mix changes and regional mix changes. The strengthening of the dollar adversary impacted our first quarter results. This has reflected in the mobility [ph] levels which we have reported, the gross margin was 54% which is 3 percentage points lower compared to 57% in Q1 2014, and this is basically caused by the FX movements. A constant currency for the U.S. dollar and British pound our gross margin and operating results were relatively flat year-on-year and revenue was slightly down. Operating expenses for the quarter were €115 million, which was slightly below the same quarter of last year and this was made mainly driven by lower charges for amortization of technology and databases and that was partially offset by slightly higher SG&A expenses. And the increase in SG&A partly reflects the amortization of acquired customer contracts following our recent acquisitions in Telematics. Marketing expenses were relatively flat year-on-year. The other financial results for the quarter was a charge of €2.6 million, which mainly reflects the impact of losses resulting from the revaluation of foreign currency denominated monetary balance sheet items, which were not fully offset by the positive hedging results. The result for the quarter was a loss of €6.9 million. The adjusted net result on a post-tax basis was €2.4 million and this translates into adjusted earnings per share of €0.01 for the first quarter. At the end of the quarter, we reported net cash position of €77 million, cash flow from operating activities for the quarter was €13 million, which was slightly below loss shares and the cash flow used in investing activities was stable at €24 million, compared to last year. If we now turn to the outlook for the 2015 as a whole, so we’re reiterating our guidance for the full year, we expect revenue to grow to around €1 billion this revenue growth will be weighted towards the second half of the year. And we are expecting to see growth in three out of the four of our business units this year. Not in Automotive were, as we’ve already flag to expect a modest decline, but the other will grow. We are maintaining the level of investment both in terms of CapEx and OpEx in our core technologies of similar levels to last year, and despite the currency situation we expect adjusted earnings per share to be maintained at around €0.20. So that concludes the formal part of the earnings call. Operator, we would now like to start with the Q&A session please.
Operator: Thank you. [Operator Instructions] We will now take our first question from Stuart Jeffrey from Nomura. Please go ahead.
Stuart Jeffrey: Thanks very much. I have a question on mapping industry, now that not gives [indiscernible] by looking to sound clear. Is there any scope for you to be a bit disruptive in the intervening period and perhaps gain share, or other sales cycle just long to happening significant impact. And then perhaps more broadly, could you just talk about, how you see the industry in terms of the benefits of vertical integration versus being some more independent by the revenue particular concerns about one of the major players getting involved to vertically integrate the PND [ph] business. Thank you.
Harold Goddijn: Stuart thank you. Difficult to anticipate more wide from here beginning of this process, I don’t want to speculate whether we’ll mean at this stage for the industry or whether that present additional opportunities for us, but needless to say that we followed developments very closely and what’s going on in the industry. I think in terms of being disruptive, I think, what’s far as to generate to, what we hear from our customers is that they’re like what we doing in terms of technology. I think the ability to make maps in real-time to connect all sorts of sensors cloud source information to our platform and our ability to process that in a highly automated way, is seen as fundamental to future use sketches. I would also like to point out that we do have a very cost effective way of making maps and publishing those maps. And I think the combination of having that real-time platform, ability to process sensor data and other data from external parties and from our customers indeed, in combination with a low-cost platform gives us a good position. Going forward we feel good about it. And I think the recent successes we’ve had in automotive and the wins we had in 2015 or 2014 are proof of that and we don’t see that’s falling down in 2015. So as far as I'm concerned we are planning for growth in automotive substantial growth in automotive in 2016. We have our technology sorted out, we are running a flagship and we can make maps and contents at much lower cost than anyone else. And I think those are very sound foundations to further win market share and delivered a products that the market is asking for.
Stuart Jeffrey: And just – sort of add-on, when you say you can make maps at a much lower cost than anyone else, how do you benchmark that and what is in enabler fact [ph]?
Marina Wyatt: Well, we don’t have the exact numbers, but look at the – but we know how much we spend of course internally, we have a good estimate of what others are spending. And then if you look at the end results then I think it’s safe to say for us that we are a lot more efficient. We get a little more bank-for-buck, than some of the other map making [ph] end user.
Stuart Jeffrey: Great, thank you.
Operator: We will now take our next question from Andrew Humphrey from Morgan Stanley. Please go ahead.
Andrew Humphrey: Hi, thank you for taking my question. I just wanted to drill down a bit more on the mix in the consumer business. Clearly you’re seeing some strengthen in ASP’s, which is leading for overall growth in spite of softest market share. How should we think about rather the reminder of the year, are you seeing those trends lasting for a period of time, could we see even more upside in terms of mix on pricing? And also may be on the sports side there is the growth you’ve seen there in Q1 consistent with your aims of significantly increasing revenue you’ve seen?
Marina Wyatt: Yes, so let me handle Dan. So ASPs are an upward trend, I think, that’s partly in effect of the strengthening dollar, which means there is mass opportunity to – for cost reduction – price reduction all of our competitors and similar products, are all calculated and priced in dollars. So we would expect that overtime prices for consumer electronic goods that are manufactured in dollars dominate the components will trend outwards as results of the weakening euro. And indeed we hope that that will take place in throughout the year and probably by the end of 2015, if we don’t see big, currency moments again, we will be trending towards normal gross margin levels that we have been enjoying in the past. If I look at sports, yes, it’s going well. We’re on track to deliver substantial growth. We want to double our revenue sports sector in 2015. We’re on track to deliver that in Q1.
Andrew Humphrey: Great, thank you very much.
Operator: We will now take our next question from Marc Hesselink from ABN AMRO. Please, go ahead.
Marc Hesselink: Yes, thank you, also on automotive. Firstly on the comment you just made that you expect substantial growth as of 2016, to me this sounds a bit more enthusiastic than before, I think, earlier you talked about growth as of 2016, did that really change or is that the just wording for now? And then secondly on some more fundamentals behind it what are you seeing take rates in automotive. I heard some positive comments from the tier ones that take rates are increasing more on an average what’s your view there? And then on the pricing that you see in automotive, it should stable going up, going down and what do you see there?
Marina Wyatt: Yes, so revenue in automotive sector is for 2016 will be substantially higher than what we do in 2015. It has to be 2015 is lower than 2014. 2014 was also another great year, but we start to recover ground to 2014 by booking €220 million orders, if you project that against the scheduled deliveries for 2016, then we can be quite confident that revenue will go up substantially in 2015 in the automotive segment. Your other question, take rates are indeed on the up, so it’s still surprisingly low, it’s 13% [ph]. There’s still an upward trend that creates a larger market that’s partly offsets by price pressure on maps itself. But if I look at our makes of what we sell to the automotive industry that mix is now improving, it’s not just maps, but it’s also services including traffic information and navigation software, server based applications and services for which we see increased levels of demand. And that will also give us protection for price decrease and compensates for price decrease as a whole. So if I look at the amount of money we make per car and then that looks good. As I said order intake in 2010 – 14 will translate in sales 2016. 2015 will be the lower but we expect as of Q4 this year the trend to reverse and sales volumes to go up.
Marc Hesselink: Yes, one follow-up to clarify. Is that – does that mean that the feedback that you’re receiving so far now that you’re started with replacing the newer – with the new Med platform. May that you more confidence that you are in a very strong position or is that the same as let’s say a quarter ago?
Harold Goddijn: No, I think that has the – not changed, but we continue to deliver against our plans. Q1 bookings were in line with expectations, supportive of further growth. So I think – I think we’re doing okay, we’re doing well. And that will result in growth and you know it’s going well in that part of our business. It has to go well as well that’s more than we estimated. Our market share is not where it should be, but we’re claiming some of that. There are ample opportunities for – there are a lot of opportunities for growth in the automotive segment. So we’re investing heavily and I'm pleased to see that it’s – that the returns now start to come in.
Marc Hesselink: That’s clear. Thanks.
Operator: We will now take our next question from Gareth Jenkins from UBS. Please go ahead.
Gareth Jenkins: Yes, thanks. This is just a follow-up from my last question. I wonder if could talk, you’ve talked helpfully about the order bookings in the automated and parts. I just wonder if you could sense of how the auto pipeline is shaping there. Secondly, just on Sports revenues, you mentioned that doubling the share, could you talk about the margin price there on and whether there is any other verticals that you’re interested in addressing on next obviously one of your competitors addresses things like aviation and marine, I just want to tell something you’ll been interested in overtime. Thanks.
Marina Wyatt: Yes thank you. So I think the margin profile on – so your first question was margin profile on sports watches, I think,
Harold Goddijn: [Indiscernible]
Marina Wyatt: [Indiscernible] pipeline.
Gareth Jenkins: Yes.
Harold Goddijn: So when we book an order a contract a we’ll win a contract in automotive the typical profile of such a contract win is that you start shipping about on average two years after you have won the deal. And the total lifetime of those deals is approximately four years, give or take, yes that is the average. So if you, as in last year we’ve booked €220 million in orders, if there were all of that profile then you start seeing one-fourth of €220 million coming through the P&L in 2016, for a period of four years. So that’s the way to look at it. It’s not all the same, there’s a bit of their variation, some contracts stay longer, have longer life time, others have slightly short life time but that is more or less the profile. What you can say is that if you continue to book €220 million in orders for a number of years your revenue will trend to the €220 million on an annual basis overtime. So that’s how to look at it. Now order impact in 2004 was €220 million expectation for this year is to exceed that number. It’s not always that easy to plan and to say so it can be quite jittery big deals in one quarter, or they can be postponed, or it’s not a it’s not a continuous order and say, but they can be dependent on quite substantial programs. But what we see in the market is high levels of quoting activities, good percentage of wins and I think all-in-all we are on the right track, and we’re gaining momentum in that part of the business. So, there’s no more I can say at this stage, but I think you get a picture.
Gareth Jenkins: Thank you, and I just…
Harold Goddijn: Then Sports, so margins on sports products are slightly higher than they are in the PND sector. That’s okay. Growth is happening there as we had anticipated, last year we shipped five from a 1,000 sport purchase. Our aim is to double that this year. Last question are the [indiscernible] cost? We don’t give guidance for product introductions, we keep that for commercial reasons under the – we don’t disclose that. But if you look aviation, I can say if you say that’s not an area we’re interested in and I think the for boating this is a very specific market is now we’ve planned to enter those verticals if you like.
Gareth Jenkins: Thank you.
Harold Goddijn: And then no – I can’t say much.
Gareth Jenkins: Thanks.
Operator: We now will take our next question from Martijn den Drijver from SNS Securities. Please go ahead.
Martijn den Drijver: Yes, thank you. Can you provide us a little bit more granularity about the performance you acquired to Telematics companies in terms of client striation [ph] and growth? That would be the first question. The second question relates to GO Mobile and also it’s a very, very early days, its global launch shifts even been a month. But can you update us a little bit about your experience so far with this pricing model the 75 kilometers and the you have that premium audio rates [ph]. And then the final one, came up as a little bit more about how the partnerships with Bosch SoftTec, and VW Research are progressing in terms of operation to company’s initial product developments. Any information there would be useful? Thank you.
Harold Goddijn: Let me take the first question about the performance of the acquired businesses of Telematics. So we’ve made three and each time we took on subscriber databases of around, I think, 27,000 each time. And the way we run these acquisitions is that the management teams of the acquired companies have put on to earn out which are okayed around converting the installed bases, but we – the subscriber bases that we acquire on to our WEBFLEET platform, over a period that takes about 18 months. So the first acquisition we made, Coordina, has gone right through earn out period now and that finished at the end of December. And in terms of the attrition levels – so the level of the subscriber – installed subscriber base that was lost in terms of where the – have the earn outs was put together. I think it was a very low percentage of subscribers were lost from that. So I think we are having gone through that way. We’re kind of pleased with where we got to in the end. I mean a 2%, sub 5%, I don’t know the exact number. Then the second acquisition, DAMS, we’re in the – we’re still going through the earn-out phase at the moment. And so, the progress is okay at the moment, but we won’t know until we get right through to the end and Fleetlogic hasn’t started yet. I think the so far so good. We learned more each time, we do an acquisition and trying to do a better next time, but I think we can conclude that so far pretty successful.
Martijn den Drijver: And just a follow-up on that, the growth profile of the [indiscernible] had been similar and has that and if so that are similar to TomTom’s and if so has that continued at the same rate after the acquisition?
Harold Goddijn: Well what happens as we – if you like – we merged it all together. So after a period of time, it’s just parts of the sales process to the individual countries. And are we selling at the same levels that we should be whether it’s organic or acquired and I haven’t seen anything that says that going off track…
Martijn den Drijver: Okay…
Harold Goddijn: I think its fine. Okay…
Martijn den Drijver: Yes…
Harold Goddijn: And your second question I think was around downloads.
Martijn den Drijver: Yes, the GO Mobile and…
Harold Goddijn: GO Mobile and…
Martijn den Drijver: Your global launch…
Marina Wyatt: I’ll pass over to Harold on this one.
Harold Goddijn: Yes, so we adopted that our pricing for the android markets, so we made a premium application available and that is still early days, but the initial experiences is positive. So we had about 750,000 downloads for that application, but it’s too early to tell you what the conversion there is. What we can say now is that in any case no worse than the fully paid upfront application that we saw previously. So we expect an upturn in revenue for those applications, but also a large number of downloads and a big installed base.
Martijn den Drijver: What was the conversion rates of the similar types of applications usually?
Marina Wyatt: Well, we had to pay for the – previously we had to pay for the applications. So there was no conversion at all, you just pay, you got it and then you could use it indefinitely. Now you get it free as a download and then after sending five kilometers of usage you need to pay a usage fee. Yes, so that’s like [ph] works.
Martijn den Drijver: And the final question was about the update on the partnerships with Bosch SoftTec and VW Research.
Harold Goddijn: Yes, so all that is going according to plan so close corporation in the VW case it’s research and development oriented, very much focusing on Highly Automated Driving and the technology you need for that as it serves a number of trials, there’s a number of tests that are being performed. We’re learning from that VW is learning from that, and we close to taking – what we called 3D map. So the maps that you need for Highly Automated Driving very close to making first production samples of that product, as a result of that partnership. So that’s going in line with expectation. In [indiscernible] we are working closely together with NDS maps linking sensor data from the car to our map-making platform and moved to automated map-making. A number of trials and developments are underway there which also are very encouraging. So I would describe those partnerships as healthy, inspiring and also for as essential to have a good understanding of future needs for our products and our technologies.
Martijn den Drijver: Okay. Thank you.
Operator: We will now take our next question from Alexander Peterc from Exane. Please go ahead.
Alexander Peterc: Yes hi guys. Thanks for taking my question. I would like to droll little bit on the licensing bit of the business, which actually showed good growth this quarter. If you could tell us what was – is that tracking ahead of your plans? I understand the traffic is a big part of that. Could you may be how much of licensing is down to traffic license is to on over to clients. And then the second question would be on automotive, how well will that business scale as you move into very high growth, in other words [indiscernible] have to ramp OpEx to any extent in Automotive when you’re switching to high gears in growth desk? Thanks.
Marina Wyatt: Okay, if I – I mean, if I talk first of all about licensing and how its performed in the first quarter of the year, yes, it’s tracking a little bit ahead of our expectations, we’re pleased with that performance. And you know if you look at it, we had a growth of €3 million year-on-year, €0.5 million of that came from FX, leaving €2.5 million that comes in the main part from traffic and that’s a number of deals that have come in. And – you know one specifically, it is deals across both you know sales into government, and regional bodies and that type of things, but also from agreements with companies like Clear Channel, as well, which is one of our customers in that space. So there were number of different ones. I mean licensing income is still much more – today it’s still much more about maps and it is about traffic, but traffic is growing faster than maps. Okay.
Harold Goddijn: And the question you’ve asked about automotive and our business scale of the business, yes, I think it’s important to understand that we are building platform products. So components that are, software components, technology components that are used by the third-party developers which can be tier 1s or at recent sales or independent software developers who can use those components to quickly build or see navigations solutions for connected cars. So in that perspective the business scales intimately. Now, at the same time, we have more customers, you have more customers’ demands for specifics, for specials and we will have you. So it’s not linear, it’s not completely scalable, but you know this business can grow very substantially with that as having to add a little overhead. That’s the whole principle how we build this business and how we structure it and that and that seems to work.
Alexander Peterc: And just a quick follow-up if I may on automotive revenue growth, you now seem to be saying it’s going to be from Q4 onwards, for that’s where any section point is happening. Is – has there anything new happened there or do you have just better visibility as it progressed over time? Thanks.
Harold Goddijn: I think what we’re trying to say is that by Q4 of this year, the declines that we see year-on-year going on at the moment in automotive [indiscernible] stop. So I think you know that’s just passing the way for growth to come through in 2016. So that’s the way to look at it. Stop the decline and start the growth.
Alexander Peterc: Thank you very much.
Operator: We will now take our next question from Hans Slob from Rabobank. Please go ahead.
Hans Slob: Yes, good afternoon. Thanks for taking my questions. A question on the outlook for TomTom consumer, consumer saw a 6% underlying sales decline in Q1. We expect growth for 2015 for the full year. Will this only be driven by growth for you sports watch business or do you also expect a further improvement for PND as well throughout the year. And my second question is also relates to TomTom Traffic. Can you indicate a growth and the bookings for TomTom Traffic and how large that revenue stream is as a percentage of total sales volume? Thanks.
Marina Wyatt: And let me talk about the consumer side. So overall for the year, what we aim with the PND side of the business. I mean we’ve got an underlying market that is declining albeit the lower rate pricing is good, but I would – my best guess at this point in time would be that – or best estimate at this point in time would be that we will see a slight decline overall for the year. Spots should grow – sports will grow strongly. And so overall that should put consumer into a growth overall for the year.
Hans Slob: Okay, thanks.
Marina Wyatt: Okay. I mean that’s – roughly that’s how I should say.
Hans Slob: And on TomTom traffic?
Marina Wyatt: Yes and your question was how much overall of our revenue comes from traffic today?
Hans Slob: Yes and how fast is the growth for TomTom Traffic in sales or in bookings?
Marina Wyatt: Yes, I mean the things – the thing about how we report our business for the moment is scale around the four business units. So, I can’t give you an answer for that. So, I don’t see of about because some of it’s been in each of the businesses and I need to come back to you on that one, I’m afraid at the moment. But clearly in terms of growth, you know, we’ve seen growth in a number of different areas. So it’s good at the strong level. But I think we need to come back to overall on how much revenue is coming from traffic as a whole at the moment.
Hans Slob: Yes, that would be much appreciated. And maybe final one, when do you expect your impact from the facing out of the order automotive contracts to disappear, is this also Q4?
Marina Wyatt: Yes – and the fact is kind of the previous question actually. In Q4, what we expect is that Automotive revenue will start declining and then we kick into growth in 2016. So that’s how that will come out.
Hans Slob: Okay, thanks very much.
Marina Wyatt: Okay.
Operator: We will now take our question from Shyam Kumar from TT International. Please go ahead.
Shyam Kumar: Hi, thanks a lot. And just a follow-up on the first question with regarding [indiscernible] here in the strategic elements in the industry. How should I think about I guess your asset base, your maps, your navigation, and your traffic versus peers in terms of the size, the scale, the quality. Therefore if you got a bigger business in terms of the licensing and the Auto revenue, but I’m just trying to sort of ascertain if it is a strategic buyer one the big tech giants will actually take hold of here. I’m just trying to think how you would think about valuation read across [ph] and similarities in your assets?
Harold Goddijn: Yes, that’s a broad question. I’m not so sure, how I can best address that. I think we’re both in the mapping business, I think, I cannot talk for peer strategy and how they do things. I think where we get for mostly, so we – the similarities you [indiscernible] for us, we’re selling our licensing into the industry. I think what we have been focusing on, as TomTom, is to create a really cost effective business, Highly Automated, provide tools to our customers to use that data in a cost effective way. So runtime maps and navigation software, easing the great traffic. But that we spoke short of taking on ourselves, big integration jobs or we’re happy, also we really take a platform approach providing the core components that our customers need and focusing on doing that as best as we can and as cost effective as we can. And I think we are now seeing some new fashion of that strategy coming through with higher levels of income that we can generate on those assets. And that will give us [indiscernible] opportunities to grow and do what we are already doing. And as for us I think – because it is smaller player, quite a bit to gain there as well, there is a market share, and hopefully believe that’s one of our core objectives to actually do that and deliver that growth.
Shyam Kumar: Okay. And I guess in terms of the underlying asset, the database, the scales, the number of countries covered, you guys are quite similar?
Harold Goddijn: There is a high level similarity. I wouldn’t say it’s exactly the same, but it’s a high level of similarity. I think the year – the thing that we are really trying to get across is that map making in the old day – in the old way is not going to work, it’s too expensive.
Shyam Kumar: Yes.
Harold Goddijn: We need to find more effective ways of doing that. And we’ll affect these platforms to deliver those maps and maintain those maps and do that to a high degree of automation. That’s where we’ve been focusing on.
Shyam Kumar: Okay.
Harold Goddijn: And that gives us [indiscernible] over anyone else in the industry.
Shyam Kumar: Perfect. Thank you.
Operator: [Operator Instructions] We will now take our next question from Marc Zwartsenburg from ING. Please go ahead. Caller please go ahead, your line is open.
Marc Zwartsenburg: Yes, good afternoon. It’s Marc Zwartsenburg of ING. Thank you for taking my questions. My first question is on the outlook statement to maintain the level of investments on the OpEx side. Q1 was more or less in line with last year. Should we take that outlook statement as being the coming quarters, the OpEx roughly in line with last year? That’s my first question. And my second question is on the gross margin. I think, Harold, I heard you mentioned that you expect the gross to even take the FOREX remaining at current levels that the gross margin will get back to normal levels again later this year, but can you perhaps give me a bit of color how that should migrate back across the FOREX impact – this FOREX impact. So how do you see that trending back? And then a final one, I think how the automotive – talk about revenue for automotive in the longer term to trend towards 220 million revenues. Is it – did I get a correct view or am I mistaken you? Thank you.
Marina Wyatt: Yes, let me take question about OpEx, Sam. And what we’ve said overall – overall for the year, our OpEx will be flat to up a little bit on last year. What we have to deal with is that we have got portions of our employees who are outside the Euro zone and that puts some outwards pressure with Forex on the run rate for OpEx. But we are managing that as carefully as we can. But I think overall as I say we will be flat but may be up a bit from last year. So that’s pretty consistent with what we’ve said since we gave our guidance. In terms of the quarterly variation Mat, you may see variations year-on-year in the quarters, we’ve been very flat in Q1, but to some extent it will be dependent on the timing, for example, of marketing campaigns and when they actually happen, because those investments are lumpy and if they fall in a different quarter one year to another that can cause quarterly variations.
Marc Zwartsenburg: And is there already some visibility on the timing of that?
Marina Wyatt: We have some plans internally that’s still fluid, they are not constant still yet. So, I’d rather not be prescript about that at this stage, it wouldn’t be right.
Marc Zwartsenburg: Okay. Thank you.
Marina Wyatt: Okay.
Operator: There are no further questions…
Marina Wyatt: Your second question I think it was around gross margin…
Marc Zwartsenburg: Yes.
Marina Wyatt: And what’s happening around gross margins. And so the point we’re making is that overtime, businesses need to adapt to the new reality with the exchange rate and adjust their businesses which will happen, as new products come in through actions and supply chain. And overtime the industry will adjust and gross margins will move back in the direction that they started off in. Again, exact timing on that we work at it [ph] as fast as we can clearly, because it’s having an impact on our results, but I can’t commit that we’ll be back at the same levels by the end of this year. We will report some progress on that as things become clearer.
Marc Zwartsenburg: Okay. And last one on Automotive.
Harold Goddijn: Yes, there was, I think, we need to be careful this is by way of example and a pure mathematical explanation if you book certain level of order intake per year, you do that for a long time then your actual revenue will return to the same number. I bet it is not indicative for our order intake of what we expect in 2015 or 2016 and beyond. That is too early to comment on that. Other than – what we’ve said so far is that, order intake in Automotive of 270 million in 2014, and we expect similar or higher level of order intake in 2015.
Marc Zwartsenburg: Okay. That’s very clear. Thank you very much.
Operator: There are no further questions in the queue. That will conclude today’s questions-and-answer session. I would now like to turn you back to the host for any additional or closing remarks.
Marina Wyatt: Thank you, operator. I would like to thank you all for joining us this afternoon, if you have any follow-up questions at a later time, please don’t hesitate to give us a call. Thank you all very much. And operator, you can close the call.
Operator: That will conclude today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.